Operator: Good day and thank you for standing by. Welcome to the Altius Q2 2021 Results Conference Call. At this time, all participants are in a listen-only mode.  I would now like to hand the conference over to your speaker today, Flora Wood, Director of Investor Relations. Please go ahead.
Flora Wood: Thank you, Carol. Good morning, everyone and thank you for joining our Q2 conference call. Our press release and quarterly filings were released yesterday after the close and are posted to our website. This event is being webcast live and you will be able to access a replay of the call, along with the presentation slides that has been added to the website. Brian Dalton, CEO and Ben Lewis, CFO were both the speakers on the call and will then open it up for questions. The forward-looking statement you have seen on Slide 2 applies to everything we say in the formal remarks and during Q&A session. And I remind you that if you have any questions, you'll have to dial into the conference call as the webcast is audio only. And with that, I'll turn over to Ben to take us through the numbers.
Ben Lewis: Thank you, Flora and good morning everyone and thank you joining. Q2 royalty revenue of $21.9 million or $0.53 per share was up 23% from Q1 and just under our $22 million record quarter in Q4 of 2020. Q2 EBIDTA was $17.7 or $0.43 per share, compared to $14.6 million last quarter consistent with the change in revenue. The EBITDA margin was 81% this quarter compared to 82% last quarter. G&A expenditures of $2.0 million in Q2 are consistent with expenditures of 41.9 million in Q1. Adjusted operating cash flow was $5.8 million or $0.14 per share, and is down 34% from Q1 levels, and down 56% from its comparable quarter last year, reflecting the timing of corporate tax installment payments. As the corporations were granted flexibility in deferring payments last year due to COVID. In addition, changes in working capital impacted cash flows this quarter, and we expect that to reverse in future periods. The quarterly net earnings of $14.5 million or $0.38 per share include $0.13 in non-cash adjustment items that are identified in the waterfall table and slide that you can find on our website, leading to adjusted net earnings of $0.25 per share. The main adjustment item is a $0.16 gain from reclassifying the investment in Adventis to mining other investments rather than previously being equity accounted for, given that we no longer hold board representation. Our equity ownership in Adventis currently stands at 12%. And we hold a 2% NSR royalty on its flagship Curipamba copper gold project located in Ecuador. We of course continued to remain strong supporters of the business. We had additional gains of $0.02 on relating to the disposal of mineral properties that were partially offset by non-cash impairment charges and the breakdown of mineral properties as well as a $0.01 per share charge related to the fair value adjustment of derivative and foreign exchange. In April, we received 600,000 shares of Champion Iron as a result of Champions acquisition of the Kami project. The receivership process and the settlement of debt and interest obligations incurred by its owner to whom the Corporation was a lender. We recorded interest income of 636,000 during quarter after recognizing the value of the shares received. So also worth noting that we continue to hold a 3% GSR royalty on the Kami project. We signed a press release that our board of directors has once again increased the dividend by $0.40 or 40%. I'm sorry from $0.05 per share quarterly to $0.07 per share. The dividend will be paid to shareholders of record on August 31, and the payment date is estimated to be September 15 2021. Now I'll turn to balance sheet and capital allocation. The cash position increased to $115.9 million at the end of the quarter, with $96.7 million being the AAR cash balance, which we consolidate by virtue of our 59% ownership interest in ARR. The cash position excluding ARR is $19 million at the end of Q2. We also announced that we intend to refinance our debt facilities that will result in a slight decrease in interest rates. And also increases are available credit to $225 million and extensive turn from June 2023 to August 2025. This change also gives us additional capital allocation flexibility, as the quarterly principal repayment will decline from $5 million to $2 million per quarter. And certainly other covenant restrictions will be eliminated or reduced. Outstanding debt as of today is $117 million, which means we will have approximately $108 million available liquidity under the new facility, which compares to $43 million at June 30. The credit facility improvements reflect our lenders and management's recognition of a general strengthening of our business as the previous counter cyclical period of M&A base growth is behind us and will bear fruit as we move forward into this next part of the commodity cycle. This viewpoint is also reflected in the confidence demonstrated by our board of directors this quarter electing to increase our regular dividend. That's my main remarks today. And now I'll turn it over to Brian.
Brian Dalton: Thanks, Ben and Flora. Thanks everybody for joining us. Q2 was a good one overall, for Altius mainly on the strength and improved prices across most of the commodity areas we have exposure to became close to a new quarterly record, even though it wasn't a particularly strong one in terms of royalty volumes due to a variety of factors ranging from lower mind grades and base metals, accelerated closure of two production shafts at the  mine import issues for iron ore. Volume improvements are expected in the back half of the year however, with IOC expected to make up last shipping ton, nutrient planning to significantly ramp up production and linden  planning mine better proper headway material as a parallel . The strong prices being experienced as a result of a combination of continuing cyclical as well as structural shifts, as a prior period of low capital investment within the sector is being met with expectations of global demand growth. Much of this growth relates to widespread infrastructure spending plans and are generally focused around several important macro trend transitions that we've been aligning your business with over the past number of years. So all the benefits being felt to date this cycle are still largely price driven, we continue to believe that current incentivization conditions are translating into an upcoming period of operator funded organic growth for our business. This is expected to come through a series of expansions and new builds across much of our long life low cost portfolio. The most widely recognized as a macro trends we have aligned with is the clean energy transition and in particular within that broad consumer and industrial level electrification. Electricity generation moving decidedly towards renewable sources at the expense of fossil fuel with relative growth rates still widening in most markets. This is providing tailwinds for several of our exposure areas. Our own energy transition goals continue to be strongly executed upon as they are now public subsidiary, as the date today created royalties on 10 advance through the operating stage utility scale renewable power projects in the United States. Associated revenue will begin to ramp up in 2022 sooner than expected even a quarter ago. Our coal based electrical generation exposure on the other hand now includes only one remaining plant in Alberta that produce less than 10% of revenue this quarter, and which represents much less than that on a net asset value basis. At its peak in 2016, coal based revenue accounted for more than 46% of our business. The renewable energy sector still has yeoman's work ahead to power increased electrification requirements, including, perhaps most profoundly as relates to transportation, but are considering to renewable energy installations themselves to transmission overhaul requirements to charging infrastructure, or the vehicles. Common supply chain challenge relates to commodities such as copper, steel, lithium, nickel, all of which we've been working to increase our exposure to for almost a decade now. Prices across this complex have responded accordingly and while incentivization levels are generally present, the mining sector is yet to really respond with much needed investments in supply. The talk has begun but the capital commitments have yet to materialize. Reality is that the collective coverage for new major projects is pretty bare. And what does exist is being challenged once again by increasing costs risks stemming from resource taxation pressures in several major producing regions, labor costs and availability, energy costs, and more just general inflationary factors. Investments will come they must. However, we believe that the incentive price structures that are needed are moving further upwards. Reading the Q2 reports, the world's mining housing evidence of contemplation is a very common takeaway. This is feeling reminiscent of what occurred in the mid-2000s when for example, the incentive price for copper moved from the 150 range to the 350 range. And the transitory versus structural inflation debate you can put us in the structural camp, at least as it relates to the cost of winning metals. And what remains is the world's ore deposits. There are two key points to note in this for all to your shareholders. First, royalties love inflation, no share of the higher cost but full beneficiaries for the resulting higher prices. And secondly, we have been carefully building exposures to those select deposits that can be built or expanded competitively in demand and depletion pressures continue to build across the sector. Voisey's Bay has just begun production from the first to new nickel deposits being developed, the second to follow shortly. As Japan work is underway to determine the scale and scope of potential copper expansion. Feasibility study is nearing completion for Adventis of Curipamba project. In Ecuador, Sigma is moving ahead with development of the new high grade lithium mine, an LRC continues to add several other new royalties. And last but not least, Champion is busy with a feasibility study to evaluate the Kami iron ore project's potential as an ultra high purity producer capable of meeting increasing relevant demands for cleaner steel production in the world. We're expecting a lot of positive news in these brands to the back half of '21 and into early 2022. The other major macro trend that we are aligned with relates to food production, within an ever more uncertain climatic agricultural backdrop, the topic of food security has regained global attention and crop prices have generally moved sharply upwards. This hasn't turned driven demand pricing for potash fertilizers and we are exposed to the best mined sources in worlds the Scots  from Canada. So far this year, it seems as if the limited demand and potash has been available supply, which is in remarkable contrast to the narrative that has prevail over the past several years. Spot prices for potash have more than doubled year-over-year. And perhaps more importantly, our royalty mines uniquely have remaining capacity from expansions commissioned during the previous cycle, and that are now accelerating ramp ups in order to meet the higher demand. While we caution that there is an inherent short term lag effect between spot price increases and realized prices, and fundamental constraints to the pace that increase capacity utilization can occur. The outlook for our potash royalty portfolio becoming very bullish over all timeframes. We further believe that the next general wave of investment in the building of new potash capacity, including for several of our royalty mines is closer than the market is anticipating. These are seriously long lead projects. We are approaching the time as a sector to make calls and new investments in order to keep pace with future projected demand growth, which by the way is compounding against higher and higher base level. Turning now to our project generation business. Our junior equity portfolio continues to perform well and liquidity opportunities have been increasing generally as other capital providers increase exposure to the exploration and development sub sectors. Our pace of new project sales in exchange for equity positions and royalties have remained strong and is experiencing almost insatiable demand. This is coming from producers looking to replan these exploration pipe line after years of underinvestment, as well as the now better funded Junior exploration sector. From the more advanced holdings in PG equity and royalty portfolio, we are also anticipating a lot of news flow in the coming months. Feasibility study results is coming for Adventis since Curipamba project from which incidentally, the discovery of a new mineralized zones announced just yesterday. AngloGold Ashanti also revealed this quarter that it's silicon gold deposits discovery in Nevada moving into Economic Studies, but the first stage review expected to be completed in the second half of this year. It also noted that encountered positive gold intercepts and widespread drilling from a secondary within the project footprint that are reversed with the Merlyn target. We call that we hold a direct royalty on silicon and our major shareholders of origin royalties who hold a second royalty, their. Resource updates and other advanced stage work programs are underway for several additional projects within our portfolio including  projects. Beyond that, the companies within our portfolio continues to meet with great capital raising success. And this is translating into an unprecedented level of exploration, drilling exposure, and discovery optionality for our shareholders. And with that, I will turn the session over to questions. Thank you very much.
Operator:  Your first question comes from the line of Carey MacRury with Canaccord Genuity.
Carey MacRury: Good morning, everyone. Maybe just first in the credit facility, you bumped it up there? Should we think of that, as you know, just taking advantage of better credit conditions? Or, you know, are there opportunities that you're seeing out in the market that you can deploy into?
Brian Dalton: I guess the first comment I'd make there is, you know, generally speaking, you do these things when you don't need to. But there's a reflection here of previous credit facility that we had in place was worked through that period of pretty aggressive M&A for small company, we did lots of different sorts of things, which required tons of different amendments to the agreements, it was starting to get really messy. So it was time for us to do a bit of a reset and to talk to our lenders about how the business evolved and changed. And so Ben, and the team did some great work, I think and just cleaning things up and putting us in good stead, I wouldn't read try to read through that there's immediate plans for use of that additional liquidity, but obviously you never know when you need liquidity and when opportunities come along, so you want to have it done in advance. Again, great credit to the team. It's a really nice, clean structure. And I think a better matches where the business has gone over the past few years.
Carey MacRury: Maybe just trying to understand the renewables business. So you've got, I guess, active project now in 2.5 gigawatts, and I think we targeted you expect about four gigawatts, once all the capital that's been deployed is deployed is that the way to think about that?
Brian Dalton: I wouldn't get too precise around that just because like you saw ARR just announced that it had deployed $35 million in an operating stage project that so you know, what the larger ticket size won't bring as many headline megawatts into our portfolio, but from a percentage of royalty percentage and percentage of the portfolio, it's obviously very substantial. So if we were to take all of the remaining capital within ARR, by projects of that type, there'd be less megawatts at higher royalty rates. And if all of the capital came, was deployed with developers, where we have lower royalty rates, there'd be more megawatts. But I think the takeaway for you know, what's been happening with ARR that, you know, at the time of the IPO it set for itself, two key objectives that were you know, were critical. A, it was to see, the investments that have been made with existing developers continue to result in a strong sales pipeline that was resulting in new royalties on our behalf. So that was an exceptional quarter in that regard. And then the other was regarding the pace at which we could deploy capital, types of returns that that we've been targeting. And over the quarter, there was almost $55 million US deployed. So we feel really good about how ARR has been progressing. It's only six months post the IPO but against those two major execution type objectives; it's going gangbusters .
Carey MacRury: Great. And maybe just one last one for me, and I'll pass it on. But just in terms of Apollo's position, how much more capital do they need to commit to get to their 50%?
Brian Dalton: Ben, you might have to help me with the exact number. Because this isn't the latest acquisition was in an operating stage project, we had to reduce some of the structuring a little bit and resulted in ARR, contributing to the investment despite the fact that Apollo isn't completed on the earning. So their original commitment would have been $80 million. And that's now been bumped up to $91 million against which again Ben or Flora maybe you can help me with how much how far along there on that now.
Ben Lewis: And I expect by December 31 of this year.
Carey MacRury: That's it for me. Thanks, Brian.
Operator: Your next question comes from the line of Craig Hutchison with TD Securities.
Craig Hutchison: Good morning, guys. Into your potash royalties, you noted that Esterhazy shops K1, K2 were closed in the quarter and K3 is ramping up. Is your understanding that the volumes from Esterhazy will be flat? Or do you expect them to be higher over the back half of this year?
Brian Dalton: Yes, so obviously, the K1, K2 closure came earlier than expected that was within the cards. Obviously, the mosaic has been investing pretty heavily in the K3 production area with a view towards bringing down more than two I think water flows accelerated in the one and two area, which resulted in that early closure. So they're not quite at full ramp up from K3 yet, in order to replace some of those last ones. But I believe we can correct me in their own reporting, I believe they expect to have K3 fully ramped up somewhere in the first half of next year. And so it's the shaft areas, obviously, you know, just how much material can you get the surface, once it gets the surface through K3, the plant that are the top side facilities that would have previously served as K1 and K2 can be utilized. So there'll be higher production rates from K3 to offset the loss from one end to and then there's no bottleneck at top because they just also from K3 now instead of K1 and K2. So yes, generally speaking, I think the plan is to be at the same sort of level once K3 fully ramps up. But there's a few there's a couple of quarters of lower production from Esterhazy ahead for sure. And of course, there's also being offset now by actually more than offset by their neighbor nutrient, announcing the quarter to 500,000 Conrad books. So whatever mosaic loses in the short term nutrient is more than made up for. So net, net higher volumes of the back office, you're obviously higher prices as well. Yes, and bear in mind that we own varying royalty rates by mine, so we don't have great color at this point as to where that incremental new production from nutrient will come from. So some of them might be from lower royalty rate or higher royalty rate mines, but generally speaking will be beneficiary.
Craig Hutchison: Great to see the dividend bump, is there a sort of target payout ratio that you guys have and how is that measured? Is it based on free cash flow or operating cash flows?
Brian Dalton: The way we approach that, in doing the research for the board was just to you know, to toggle around different dividend levels in the near term. And then to compare that against ongoing free cash flow levels. So it's not a precise, you know, exactly this percentage of payout was based more on an outlook across the portfolio and there is still a fair bit of uncertainty there. There's a lot of optionality, if you will, in our in our portfolio with announcements still pending on expansions and new bills and those sorts of things. So I would say it's a conservative, the conservative bump at this point relative to current free cash flow levels, but as we get more color in the future, on just portfolio or dynamics longer term here, we'll just make continuous assessments of our capital allocation flexibility. But again, for our shareholders, I think there hasn't been a dividend increase in a couple of years, we've been going through a period of pretty rapid growth, first through mining, M&A, and then investments in the Altius renewables platform prior to its IPO and those things are behind us right now. So it was just it was time to see shareholders begin to reap the rewards of these better prices and better conditions. And the fact that, our bets are largely in now.
Craig Hutchison: Okay. Are you guys still thinking about…
Brian Dalton: It's a long way to say no, it's not a percentage payout ratio, more longer term outlook on business profile and a conservative approach to hopefully we can continue on this trend with for a considerable period forward.
Craig Hutchison: Okay, great. Just are you guys thinking about share buybacks still in the second half of this year? Or is that sort of positive?
Brian Dalton: With the assessment we made around capital allocation, buyback remains something that we're very keen on and focused on, but it'll be opportunistic for the most part. We've maintained capital allocation, flexibility for growth opportunities that they should arise, special situations, those sorts of things, as well as just opportunities to actions and around the buyback. We're still keen on bringing down share account, longer term.
Craig Hutchison: Thanks.
Operator: Okay. There seems to be no further questions at this time. So I'll turn the call over to Flora Wood for closing remarks.
Flora Wood: Thank you, Carol. And I know the 9 AM conference call slot was a busy one this morning with analysts on different calls. So, thank you to everybody who joined. And we'll look forward to talking again on the Q3 call.
Operator: Ladies and gentlemen, this concludes today's conference call.